Operator: Good day, and thank you for standing by. Welcome to the Q1 2025 Valley National Bancorp earnings conference call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. You will then hear an automated message advising you your hand is raised. To withdraw your question, please press star one one again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Travis Lan. Please go ahead.
Travis Lan: Good morning, and welcome to Valley's first quarter 2025 earnings conference call. I'm joined today by CEO, Ira Robbins and Chief Credit Officer, Mark Sager.
Operator: Before we begin, I would like to make everyone aware that our quarterly earnings release and supporting documents can be found on our company website at valley.com. When discussing our results, we refer to non-GAAP measures, which exclude certain items from reported results. Please refer to today's earnings release for reconciliations of these non-GAAP measures. Additionally, I would like to highlight slide two of our earnings presentation, and remind you that comments made during this call may contain forward-looking statements relating to Valley National Bancorp and the banking industry. Valley encourages all participants to refer to our SEC filings including those found on forms 8-K, 10-Q, and 10-K for a complete discussion of forward-looking statements, and the factors that could cause actual results to differ from those statements. That, I'll turn the call over to Ira Robbins.
Ira Robbins: Thank you, Travis. During the first quarter of 2025, net income on both reported and adjusted basis was approximately $106 million or $0.18 per diluted share. This compared to $116 million and $0.20 on a reported basis or $76 million and $0.13 on an adjusted basis a quarter ago. The sequential growth in adjusted earnings reflects revenue stability, lower operating expenses, and a smaller loan loss provision. Clearly, much has changed since we spoke to you three months ago. Tariff uncertainty has driven most economic growth estimates lower, while inflation expectations are rising. Volatility in the interest rate and equity markets has increased, and the market now anticipates more cuts during the year. Despite this backdrop, we feel well positioned to improve further on this quarter's results. While our commercial real estate exposure has been a focus over the last eighteen months, this sizable portfolio is relatively insulated from potential tariff disruption. And our ongoing CRE credit improvement should continue. More broadly, our commercial customers remain generally resolute with little direct exposure to the import and export business, expected to be impacted by changing tariff policy. From a growth perspective, our consistent C&I expansion has primarily come from small and middle market businesses where demand continues to percolate. While increased competition has resulted in incremental spread compression, we are optimistic that we have sufficient opportunity to grow profitability throughout the year. As such, there are no changes to our return expectations on slide five. On slide six, we do provide a more granular directional update to the 2025 guidance items that we presented a few months ago. We anticipate that both loan growth and net interest income will be at the lower end of our expected range for 2025. However, this should be mostly offset by non-interest expenses coming in towards the low end as well. There's no meaningful adjustment to our expectations for annual fee income or our tax rate. While charges and provisions were both somewhat elevated during the quarter, there is no change to our full year expectations for a roughly 50% decline in each metric from 2024. Slide seven illustrates the long-term value that we continue to create for our stakeholders. Our tangible book value inclusive of dividends has now doubled in the last seven years and our rate of growth continues to outpace peers. We remain focused on organic customer acquisition in both the commercial and consumer areas. These customers represent longer-term revenue opportunities and will contribute meaningfully to the future performance of our institution. As we have continually discussed, we are in much more diverse bank today than when I took over as CEO. Our evolution into new business lines and geographies has created opportunities that were previously unavailable to us. We continue to evolve with an internal focus on optimizing our operations, customer network, and balance sheet to become a better, more profitable bank for our employees, our clients, our shareholders. While economic uncertainty may present incremental headwinds for the industry, we are confident that Valley is well positioned to navigate this most recent period of disruption as we continue to execute on our strategic imperatives. With that, I will turn the call back to Travis to discuss the quarter's financial highlights. After Travis concludes his remarks, Mark, Travis, and I will be available for your questions.
Travis Lan: Thank you, Ira. Slide eight illustrates the quarter's deposit growth and rate trends. Core customer deposits increased $600 million, which enabled the repayment of $700 million of higher-cost brokered balances. This is in addition to the $2 billion of brokered deposits which matured and were repaid during the fourth quarter. Non-interest deposit balances increased for the third consecutive quarter and now stand at the highest level since September of 2023. In addition to our strong growth, we continue to successfully reprice deposit costs lower. During the quarter, our average cost of deposits declined by 29 basis points. Our repricing actions have driven a total deposit beta of 53% since the Federal Reserve started reducing the Fed funds target rate in September of 2024. The quarter's net interest margin improvement was largely the result of our ability to reduce deposit costs and incrementally improve our funding mix. Slide ten illustrates the components of the quarter's lending activity. We continue to manage the runoff of certain transactional investor loans, which contributed to a $350 million decline in regulatory CRE during the quarter. As of March 31, 2025, our pre-concentration ratio was 353% versus 362% a quarter ago, and 474% at the end of 2023. We anticipate that CRE originations will begin to pick up, which should slow the pace of runoff throughout the remainder of the year. While the first quarter tends to be seasonally slow, we are pleased with the 9% annualized C&I growth that we achieved. Similarly, we saw strong results within our prime indirect auto lending business. We expect that continued growth in these lending lines will support low single-digit loan growth for the year. Slide eleven highlights the quarter's net interest income and net interest margin results. Net interest income declined modestly as a result of lower day count during the quarter. We estimate that the lower day count represented an approximate $9 million headwind to the quarter's net interest income. Net interest margin increased for the fourth consecutive quarter bolstered by the positive deposit composition and cost trends described earlier. As Ira mentioned, we now expect to be towards the lower end of our 9% to 12% net interest income growth range for 2025. The interest rate environment remains generally in line with our expectations, but lower loan growth and continued lending spread compression represent modest headwinds to our initial forecast. That said, we continue to expect that net interest margin will increase throughout the year as funding costs decline and the fixed-rate asset repricing tailwind helps to mitigate the potential asset exposure to lower interest rates. The next slide illustrates the quarter's stability and adjusted non-interest income. Lower wealth and trust fees reflect a modest slowdown in tax credit advisory revenue. Within capital markets, swap activity moderated somewhat while FX and syndication fees both grew sequentially. We continue to believe that the midpoint of our 6% to 10% guided growth range remains reasonable for 2025. On slide thirteen, you can see that adjusted non-interest expenses of $267 million were 3% lower than the fourth quarter, and virtually flat as compared to a year ago. The sequential decline was mainly driven by lower technology, consulting, and marketing expenses, which were partially offset by the seasonal uptick in payroll taxes. We remain focused on managing future expense growth to ensure that incremental revenue gains generate positive operating leverage and support our profitability improvement over time. As Ira mentioned, we believe that 2025 expense growth will likely fall to the lower end of our initial guidance range. Slide fourteen illustrates our asset quality and reserve trends. Non-accrual loans decreased modestly during the quarter. Accruing past due loans declined to eleven basis points as a pair of CRE loans, which had previously been delinquent for idiosyncratic reasons, became current again. There were no new material additions to accruing past due loans during the quarter. Net loan charge-offs and loan loss provision both declined meaningfully from the fourth quarter, with the provision falling to the lowest level in the last twelve months. Given our current expectations for the credit environment, we anticipate the net charge-offs and provision will continue to compare favorably to 2024 throughout the remainder of the year. During the quarter, our allowance coverage ratio increased five basis points to 1.22% and stands at the highest level of the past five years. We anticipate general stability in our allowance coverage going forward, all else equal. Turning to slide fifteen, tangible book value increased as a result of retained earnings and a favorable OCI impact associated with our available-for-sale portfolio. Our regulatory capital ratios at March 31, 2025, were generally stable as compared to December 31, 2024. As Ira mentioned, we are extremely well positioned from a capital perspective and have the financial flexibility to support our profitability goals throughout the year. With that, I will turn the call back to the operator to begin Q&A. Thank you.
Operator: Our first question is gonna come from the line of Frank Schiraldi with Piper Sandler. Your line is open. Please go ahead.
Frank Schiraldi: Thanks. Good morning.
Ira Robbins: Good morning, Frank.
Frank Schiraldi: Last quarter, I think you guys were talking about just from that mistake in commercial loan originations coming on in the 7% range. Just wondered if you can maybe talk about how that's progressed, where that is, where the back books were repricing, currently.
Travis Lan: Yeah. Frank, new originations this quarter were slightly lower than the 7% level. I think on average, we were about 6.80. I think it's a combination of obviously lower benchmark rates and some compression in spreads that that's pretty consistent with what we're seeing across the industry.
Frank Schiraldi: Okay. And then obviously, you made a lot of progress on the CRE concentration levels over the last twelve months. Know, you're basically at that 350 threshold here. I think you talked about maybe the compression or the contraction slowing over this year. Just curious if we could talk about kinda longer-term target and where do you think that non or when do you think that non-owner occupied CRE balance is sort of stabilized here? And within that, just just wondered if you can, you know, talk about the pickup in growth to offset that if you still think you can get close to that double-digit C&I growth this year?
Ira Robbins: Yeah. I think let me start with just the C&I. I think we're definitely real positive about what we've seen there and the continued double-digit growth. That's something that we anticipate continue throughout the organization. We laid a really strong foundation for that over the last few years based on hirings and different industries that we've entered into. So that will definitely help as we think about the moderation of the CRE concentration that sits within the entire organization. I think that said, we are getting generally pretty comfortable with where we are today and some of the significant reductions that we've seen in the CRE portfolio. Are probably gonna begin to stabilize as we begin to see a little bit more uptick some of the originations on that CRE book. So over a long period of time, the CRE concentration will definitely come down, but it'd be largely more attributable to growth in other areas outside of us really reducing what we're seeing in that CRE portfolio.
Frank Schiraldi: Great. Okay. Appreciate the call. Thanks.
Operator: Thank you. And one moment for our next question. Our next question comes from the line of Chris McGratty with KBW. Your line is open. Please go ahead.
Chris McGratty: Oh, great. Thanks for the question.
Travis Lan: Travis, on the expense guide, you did great this quarter. To get to the updated guide, would imply a bit of a ramp. So I'm interested in your thoughts there, or are you just being conservative at this point? Feels like low end or even if I touch below might be implied. Thanks.
Travis Lan: Yeah. I think that's pretty reasonable. I think we've been consistently conservative with respect to our expense guide to give ourselves the flexibility to invest in revenue-generating opportunities that we identify. I would say this quarter, you know, we would anticipate, obviously, payroll tax will normalize about $4 million in the second quarter. I do think that'll be offset by higher kinda marketing and business development spend as the year goes on. And then professional fees were also fairly low this quarter, and we manage that very tightly. But some opportunity there for that to be higher as the year goes on too. So I agree with your general sentiment. But those are some of the moving pieces. And all that said, I mean, obviously, you know, expenses remain very well controlled in general. And certainly expect further positive operating leverage as the year goes on and further efficiency gains.
Chris McGratty: Awesome. And then in terms of deposit growth, interesting in kind of what your updated thoughts are for the rest of the year and ultimately trying to land it, you know, what you're gonna do with the bond portfolio and cash, those levels. Thanks.
Travis Lan: Yeah. Sure. I think look. We had very strong core customer deposit growth this quarter. You know, anticipate the momentum there will continue throughout the year. Enabling us. I think first, our focus would be to, you know, pay off amount of broker, continue that positive trend that we've seen in the last two or three quarters. I think the cash position's in a pretty good place here. You know, obviously, some room for it to put to put additional funds to work. But, again, our priority would be improvement of the broker deposit portfolio. And then from a securities perspective, I think still gonna grow a couple hundred million dollars a quarter likely. The portfolio is at 12% of the balance sheet today. Over time, that trends higher. You know, but the toggle there will be loan growth. So if loan growth doesn't materialize, then we have more flexibility for the securities portfolio.
Chris McGratty: Great. Thanks, man.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Manan Gosalia with Morgan Stanley. Your line is open. Please go ahead.
Manan Gosalia: Hi. Good morning. Ira, you noted that your CRE portfolio is insulated from data disruptions. Can you talk a little bit more about that? And also how you're thinking about which industries or which sectors might be under a little bit more stress here.
Ira Robbins: Yeah. Definitely. I think, you know, having a great concentration as we continue to move forward with some of the volatility might not be the worst thing in the world. Obviously, it's not a place we wanna manage with a concentration by any means. But that said, I think when we think about, you know, the asset classes that are gonna be impacted, it rates do come down on the long end, that would be a positive for us if you think about where we sit with the coverage ratios, etcetera. So generally, the commercial clients that we have are more sensitive to interest rates than where we they are on tariffs. As we think about, you know, building in some of the development comes into it, you know, the two factors that really impact development on the CRE side are really interest rates and labor. And both of those seem to be a bit a little bit more controlled versus where they were before. So the tariff conversations, as we think about steel and some of the other things for the size borrowers that we do and for the projects that they have, really would have less of an impact as other ones. You know, obviously, there's industries that are gonna be potentially more impacted you know, than others based off of what we're seeing with the tariffs and some of the uncertainty. That said, we feel really strong about what our positions are. The equipment leasing business that we have on the industrial space is pretty small. The size of the clients are pretty small as well. So generally speaking, we think we're pretty insulated on an aggregate basis.
Manan Gosalia: Right. That's very helpful. And maybe one for you, Travis. I think you noted spread compression a couple of times. It sounds like you're seeing more competition. I guess, question there is where is that coming from, and, are you expecting more spread compression in your guide?
Travis Lan: Yeah. So the guide does expect a little bit more spread compression than what we've seen. I think, actually, it was fairly benign at the end of 2024, and we've seen some incremental pressure in the first quarter here. So that I think you do see competition for high-quality commercial deals in particular. Something that we're not unfamiliar with, and we do have a variety of levers to pull depending on where the competition is greatest and where we view the opportunity to be. So whether that's, you know, the geographic diversity that we have between the northeast and the southeast, or some of the nationwide businesses. I mean, Ira mentioned equipment leasing, you know, our health care business as well. Fund finance. You know, so we have a variety of levers to pull to make sure that we can continue to grow profitably. In a more competitive world.
Manan Gosalia: Is that coming more from the bank or from private credit?
Travis Lan: On the commercial side, I would say it's more from the banks. On CRE, I think private credit has gotten more active. You know, as noted by the transaction, we put on last year. You know, there's still demand for CRE assets moving into private credit. But what we're talking about in general is more on the C&I side.
Manan Gosalia: Got it. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Anthony Elian with JPMorgan. Your line is open. Please go ahead.
Anthony Elian: Hi, everyone. You reiterated the loan guide of up 3% to 5%, but do you expect the low end now? I'm wondering, Travis, can 2Q actually be a loan growth quarter or will most of that growth you expect be in the back half of the year?
Travis Lan: No. I think the second quarter can absolutely be a loan growth quarter. I mean, if you look at what we did this quarter, I think the kind of headwind that we faced was CRE originations were a little bit lighter than what we had anticipated. Payoffs were generally in line, and then the growth we saw in C&I and consumer, you know, was in line with our strong expectations. So I think there's consistency and momentum on those last two areas being C&I and consumer. And then as CRE originations pick up, which we're beginning to see and we've seen an uptick in the pipeline on both the CRE and C&I side, we feel pretty good about growth here in the second and third quarter. Maybe just to give you a little bit more clarity on what that pipeline is, you know, just in the commercial space when you look at all components of where the pipeline sits, whether it's an approved or preapproved, we were sitting around $2 billion at last quarter end. Today, we're north of $2.7 billion. Now, obviously, we don't pull through all of that, but, generally, a lot more activity. And the anticipation is to have strong growth as we think about Q2, Q3, and Q4.
Anthony Elian: Thank you. And then my follow-up for Mark, last quarter, you called out some large loan relationships that drove the increase in fourth quarter commercial real estate and C&I non-performers. Just wondering if you could provide us with an update on those loans. Thank you.
Mark Sager: Sure. All of those loans have been written down and taken care of and no lingering on any of those fourth quarter issues. The charge-offs, this quarter were associated with two C&I credits predominantly making up the bulk of that portfolio. We are very comfortable with the guidance that we're giving on both provision and charge-offs for the remaining portion of the year. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Matthew Breese with Stephens. Your line is open. Please go ahead.
Matthew Breese: Hey. Good morning.
Ira Robbins: Good morning, Matt.
Matthew Breese: I was hoping you could talk a bit about funding and core deposit growth expectations for the year. Also curious what's left on broker deposits to run off.
Ira Robbins: Yeah. Maybe just let me start. I think just we think about funding in general, Matt, and it's great to talk about the liability of the balance sheet, but to talk about it in isolation without what we're doing on the asset side, I think would probably be a little bit of a miss here. And one of the things we've been having to do across the entire organization is how we think about growth. Right? And we've seen organic growth on the loan side around double digits on a year-over-year basis. So, obviously, as we grow the loan book between the 3% to 5%, you know, there's a far less demand that's required from a deposit originations. So some of the consistency that we've had in deposit originations will now provide a larger funding base for what we're doing on the loan side. In addition to that, obviously, we spend a lot of time thinking about some of the systems across the organization. We did a significant core conversion in October of 2023, which enabled us to put on a very large treasury platform here. That's now up and running. So we think we have the strong foundation and capabilities to continue to grow. The funding side of the book, which will really support more on, you know, at least a one-for-one basis what we're doing on the loan side. But Travis should have a bit more details on that.
Travis Lan: Yeah. For sure. I mean, Matt, coming into the our expectation for core customer deposit growth was 6%. This quarter was 5.5% on an annualized basis, so feel pretty good about being on track with those expectations. We do put in the investor deck on the page I think it's slide eleven, the bottom right. Illustrates maturing CDs and FHLB borrowings. You know, we still have a pool of $6 billion of brokered CDs, the majority of which are maturing over the next twelve months and create an opportunity to refinance lower in core customer deposits. And that's benefited the funding cost of the deposit betas so far as rates have come down. And anticipate that that'll continue.
Matthew Breese: Got it. Okay. And then the other one is just on loan yields. You know, the movement this quarter relative to Fed funds just struck me as quite a bit. So could you maybe help us out with the extent of spread compression because without it, the decline suggests there's just a really significant move lower in fixed or adjustable loan yields, and just trying to suss that out. Thanks.
Travis Lan: Yeah. I think part of the impact for the first quarter on margin and then asset yields and deposit cost is the fewer days. With two fewer days, right, you're creating less interest income, which has an impact on the way the yield presents itself. You know, while we've talked about spreads tightening somewhat here, I don't think it's sufficient enough to create a meaningful move in the loan yield this quarter.
Matthew Breese: Got it. Okay. If I could sneak in one more do you have the end of period or most recent cost of deposits just to help us out directionally?
Travis Lan: I don't in front of me, Matt. I could follow-up. It's I don't in front of me.
Matthew Breese: Yep. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Jared Shaw with Barclays. Your line is open. Please go ahead.
Jared Shaw: Thanks. Good morning. You know, I guess maybe sticking with the yield and cost, you know, as we as we look at margin moving through the year, you still feel that at the end of the year, we can be at or exceeding the 3.10 level?
Travis Lan: Yeah. Jared, we absolutely do. And I think that's reiterated in some of the guidance pages that we've provided here. I think for the full year, we're looking at a margin today of around 3.05 give or take. Obviously, that's dragged down by the first quarter at 2.96. So by the time we get to the end of the year, we do anticipate 3.10. I think the key drivers there, as we've talked about, is continued rotation on the funding side, add it brokered into lower cost core. The opportunity to potentially reprice deposits again. And then the fixed-rate asset repricing tailwind, on the loan side. So those factors kinda coming together is what support that guidance.
Jared Shaw: Okay. Thanks. And then you know, on the credit discussion, just the, you know, the build of the allowance this quarter. Did you is that more qualitative overlay that you added to the allowance, or is that did you actually use a more you know, a change from the baseline, Moody's assumption? A more adverse scenario.
Mark Sager: So predominantly, the direction there you saw again, our CRE portfolio shrank slightly, C&I, Inc. Increased. We've mentioned in the past that our reserve coverage for C&I is higher than for CRE. And that directionally led to the build. We did keep our outlook from Moody's scenarios similar to the prior year, and that's predominantly because all of the Moody's scenarios did take into account the tariff environment and expectations of tariffs going into place. So with that, we continue to keep our weightings the same. Noting that we have a higher weighting on downside scenario than upside scenario. In our model.
Jared Shaw: Okay. Thanks. And then just finally, I guess, what's the appetite for any additional CRE loan sales from here? You referenced sort of the strength of private equity, private capital. Is there an opportunity to do any more loan sales, or are you comfortable with sort of normal attrition from here?
Ira Robbins: I think we're pretty comfortable with where the portfolio, excuse me, stands today. There's a lot of dialogue and a lot of inbound inquiries given the strength of our portfolio. But the reality is I think we feel pretty confident on where we stand. And about the path forward for us organically. And I think just adding to that, when you look at sort of the guidance we gave on that CRE concentration, number, we feel pretty comfortable with operating around that number for a period of time. We're pretty much right there right now. You know, and I think similarly, just going back to where the reserve coverage is, I think you'll notice we didn't adjust any of the guidance numbers or targets for the reserve for the CRE quarters this year. This quarter versus in prior years. So we've pretty much already met what that CECL number looks like for us for the year or where we think that the ACL coverage is. So, obviously, we're expecting a lot less of a build as we move into the rest of the year.
Jared Shaw: Great. Thank you very much.
Operator: Thank you. One moment for our next question. Our next question is gonna be from the line of Steve Moss with Raymond James. Your line is open. Please go ahead.
Steve Moss: Good morning.
Ira Robbins: Morning.
Steve Moss: Maybe just following up on credit here. You know, just kinda curious where are your criticizing class sides as of March 31?
Mark Sager: So as of March, we had slight increase in migration, but still at a reduced level from what we saw in 2024. And we expect that trend of modest increase or reduction to go forward into 2025. We during the quarter, we actually got repaid on $160 million of criticized assets. All of those transactions were done at par and paid in full. I think we've mentioned in the past that primary driver of migration in portfolio had been our treatment of guarantor in how that impacts on the risk rating. So in spite of the elevated level of criticized, we show very strong metrics with an improvement in non-accrual numbers. And at eleven basis points, of the thirty to ninety day delinquency being one of the lowest levels that we've had in the ten years that I've been at the bank anyway, which shows that the portfolio is in a very strong performance standpoint.
Steve Moss: Okay. And then I guess just given the charge-off guide implies lower charge-offs going forward here, I guess I'm struck by you continue to have some commercial real estate formation not forming formation. You still have elevated C&I loans, kinda like what gives you comfort just given where NPLs are that you know, charge-offs still remain at this higher level versus the guidance?
Mark Sager: Yeah. And I think I would point to that early stage delinquency number as really an important number about the overall performance in the portfolio and the modest decline that we're seeing on the non-accrual side. In addition, just in general, in the CRE environment, I've mentioned with the spread, we're seeing much more activity in the market today with more options for real estate owners to sell properties at competitive prices, more refinance options, than we saw in 2024.
Ira Robbins: I mean, I just add to that. I think as Mark said, you know, some of what you're seeing in those criticizing classified numbers were a function of, as Mark alluded to, the guarantee as opposed to the underlying conditions of the individual asset. So, you know, some of those do migrate into non-performing numbers. And there are some of those non-performing numbers that are current to payment.
Steve Moss: Okay. Good to hear that, especially on the activity side as well. And then I guess in terms of Okay. And just in terms of the C&I charge-offs here for the quarter, just to give a little more color as to what type of C&I loans were charged off?
Mark Sager: Yeah. Two unique situations. Both of them, the charge-off amount was almost entirely related to events of fraud in these situations. Unique situations on the two credits. Are not something systemic that we could point to any other softness in the portfolio. So unique to these two opportunities.
Steve Moss: Okay. Great. Appreciate all calling that.
Steve Moss: Yeah. Thanks.
Operator: Thank you. And one moment for our next question. Our next question comes from the line of Jon Arfstrom with RBC Capital Markets. Your line is open. Please go ahead.
Jon Arfstrom: Thanks. Good morning.
Ira Robbins: Morning, Jon.
Jon Arfstrom: Ira, can you can we go back to the pipeline? And can you talk a little bit about how it's changed maybe over the last four or five weeks? And are you seeing any kind of I guess, fading in some of the uncertainty in the pause by borrowers?
Ira Robbins: So, no, it hasn't changed. You know, we've had obviously had a lot of conversations with our borrowers based on their perspective and I've listened to a lot of calls over the last couple days just to hear what other CEOs are seeing in from their sentiment as they've talked to their clients. You know, for us, it's been a pretty significant range. We have almost an equal number of clients that are positive and excited about what the long-term implications are from a tariff perspective. Versus others that are obviously uncertain based on what's gonna happen. I would say, you know, largely speaking, I'm not quite sure that we're giving enough credit to some of these small and entrepreneurial businesses, the ones that we bank. As to their ability to be resilient towards this actual environment. I spoke to one this morning. He was talking about his ability to already have total ability to reduce any potential increase based on expense reduction and he had a document on his desk from his team, you know, earlier in the week. And other ones sat there and told me that they just put out their COVID playbook, and they're ready to actually move forward. So I think we're hearing a little bit of uncertainty on an absolute basis. I would say though for many of our borrowers, they felt like they've had to operate in that environment since what we saw with COVID. But we aren't seeing anything from a fundamental perspective that will lead pipelines to really decline at this point. So we'll see whether perspective really comes up different than behavior this time.
Jon Arfstrom: Okay. Fair enough. Anything you guys would call out on non-interest income in terms of the drivers of the outlook? And then just curious, you know, how you're feeling about wealth and the outlook for growth there.
Travis Lan: Yeah, Jon. Thank you. Like, I think there's a strong outlook for wealth particularly when you factor in tax credit advisory revenue that hits that line. First quarter was a little bit softer, but the pipeline for deals there is building and should benefit us in second and third quarter. And then on the capital markets side, I mean, FX continues to be a strong growth driver. Although in aggregate, it's a relatively small contributor. It's still very good trend there. And then as CRE originations pick up, you know, we would expect to see some additional swap activity as well supporting the capital markets line. So I think there's some good trend there on the deposit service charge side. Again, you know, increased the pricing in the middle of last year. Full year benefit of that. In 2025 will be another supporter of the outlook. So feel good about some of the opportunities and momentum that have on the pizza.
Jon Arfstrom: Okay. Thank you.
Ira Robbins: Thanks, Jon.
Operator: Thank you. And I would like to hand the conference back over to Ira Robbins for further remarks.
Ira Robbins: Just wanna thank everyone for taking the time to listen to us today, and we look forward to reporting you positive results for next quarter. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.